Operator: Hello, everyone, and a warm welcome to Nagarro's First Half 2025 Earnings Call. My name is Emily, and I'll be coordinating your call today. I would now like to turn the call over to Michael Knapp to begin. Please go ahead, Michael.
Michael J. Knapp: Good afternoon to everyone. Welcome to Nagarro SE's First Half 2025 Earnings Call. My name is Michael Knapp, and I'm part of the Investor Relations team at Nagarro. I'm delighted to moderate today's call. You should have received a copy of the earnings release for Nagarro's second quarter 2025 results. If you have not received the press release, you can find a copy along with today's presentation in the Investor Relations section of nagarro.com. Manas Human, our Co-Founder and Custodian of Entrepreneurship, and I will be representing Nagarro on today's call. Before I pass you to Manas, I'd like to remind those listening that these statements are subject to risks and uncertainties as described in the company's earnings release. Additionally, please also refer to the earnings release for the notice on reported results that are non-IFRS measures. Let me briefly explain how you can raise your questions. [Operator Instructions] Please note that we will accept questions from sell-side analysts as well as institutional investors. Nagarro's retail investors will have a chance to ask questions in a separate call scheduled today at 2:30 p.m. CEST. [Operator Instructions] With that, it's my pleasure to hand you over to Manas.
Manas C. Human: Thank you, Michael. And once again, welcome, everyone, and thanks for joining this earnings call. The content we are presenting today is in 2 parts: the first part is regarding Q2 and the first half of 2025. We are making good progress in what is still a subdued demand environment for IT services. Our underlying business is performing better than it appears on the surface. As we will discuss, currency fluctuations and related impact on the revaluation of internal loans and bank deposits are masking some of the structural improvements we have driven in adjusted EBITDA. I'll talk more about that in a moment. The second part of this presentation is regarding the way forward for Nagarro We have seen already a pickup in activity in data, cloud and AI as well as new investments in digital transformation during the second quarter, which is encouraging. But we are determined to not just write the growth of our existing industry subsector but to layer on new opportunities to accelerate our return to double-digit growth. To achieve this, we have several strategic initiatives and partnerships that are gaining momentum, and I'll share those updates as well. In addition, our journey towards strengthening our corporate governance is progressing very well and I look forward to talking about that as well. And then, of course, we'll be happy to take questions. So let's just dive in. Nagarro continued to push forward against the prolonged economic -- global economic challenges with moderate growth and strong operational performance. That said, some of the positive things we have done to improve our operating efficiency are being obscured by FX movements. Due to the pronounced weakening of the dollar related to the euro, the reevaluation of our loans and deposits are creating noncash accounting losses. This is directly impacting our bottom line and making it look like the company is underperforming even when the underlying business has significantly improved for the year ago period. Meanwhile, our long-term focus on delivering a superior client experience is driving stickiness and loyalty with our customer base even in a slow demand environment for digital specialists. A proof point for this is the continued increase in the number of EUR 1 million-plus generating companies that we are proud to call our clients. Importantly, we were also encouraged to see in Q2 that more clients are now comfortable with and have a clearer grasp of the benefits that they can achieve through AI. This has led to a pickup in our internal design and reinvention activities, which we believe will begin to contribute to our business later this year and then on for years to come. Coming to Q2 2025. We had revenue of EUR 252 million. I'm trying to move to get the auto lights working in the room. Coming to Q2 2025, we had revenue of EUR 252 million and adjusted EBITDA of EUR 30.5 million, which is an adjusted EBITDA margin of 12.1%. Note that gross margin reached 33.2%, up from 30.0% from the year ago period as we benefited from productivity gains via our margin support program that we have talked about on previous earnings call, this has now really become a way of life at Nagarro and is structurally benefiting our profitability. The company displayed excellent operational efficiency in this first half. Absent currency effect, you would have delivered adjusted EBITDA margins that would have been towards the high end of our prior 2025 guidance range. However, adjusted EBITDA was impacted by the revaluation loss on intercompany loans and cash holdings because of the weakening of the dollar against the euro, as I mentioned earlier. This resulted in a huge negative impact on adjusted EBITDA of EUR 18.0 million in H1 which is obviously what is reflected in the numbers that we have post that, we are exploring ways to mitigate these impacts in the future. Based on what we have delivered to date as well as current demand trends and the expected trajectory of cost, we are fine-tuning our guidance for the full year 2025. In January, we had projected revenue for 2025 based on the currency rate prevalent then to be between [ EUR 1,020 million and EUR 1,080 million ] for the year. We now expect revenue for 2025 to come in near the lower end of that guidance and EUR 500 million roughly of that we have covered in H1. We had targeted gross margin in the region of 30%, and we expect to deliver that quite comfortably. We had targeted adjusted EBITDA margin would be between 14.5% and 15.5%, given currency fluctuations and the resulting impact on margins, as we have just discussed, we now expect adjusted EBITDA margin to be between 13.5% and 14.5%. This is, of course, assuming that the currency doesn't move any further from here. Coming back to Q2, our best-performing industry cluster remains management, consulting and business information, while telecom, media and entertainment was under pressure. Central Europe grew strongly at 9%, including SAP growth, while North America declined slightly partly due to currency. Our NPS for the quarter was a strong 66. The customer satisfaction rating is also reinforced by the fact that we have 188 accounts that are currently generating more than EUR 1 million of revenue each. This dedicated group of clients in which there's very little churn has been an important part of our success, and we are focused on continuing to move this number higher, but also to do more with each customer. We remain diversified across industries and across clients, which enables us to deliver solid performance in good times as well as in more difficult times. But it is also an offensive strategy since part of what we bring to our clients is the ability to create ecosystems for them, ecosystems that cut across industries and allow our clients and partners to explore whole new business models. I'm tempted to use an example from just a few weeks ago. Nagarro has recently supported the launch of the fully autonomous S Market grocery store concept by SAP and a well-known contract food service provider. In less than 3 months, Nagarro helped pulled together half a dozen shopping hardware solutions and various SAP modules and other software products, including our own NAVI platform for electronic shelf label integration to explore a whole new ecosystem concept. There are many more such examples being able to execute such complex ecosystem projects at speed and with innovation around the world, whether in Waldorf or in Bengaluru is what makes Nagarro really special. Anyway, coming back to the numbers, we have seen significant year-over-year growth in automotive, manufacturing and industrial and in management consulting and business information. We see a large opportunity in the digitization and intelligence of manufacturing and supply chains around the world and particularly in Europe and particularly in Germany and in Japan, big manufacturing nations. And you will see this in our partnerships as well. The partnerships with Siemens, with SAP with Advantech and others. And we continue to see declines in Horizontal Tech, as you can see in the figure, which we have purposefully moved away from over the last 10 years. Our top customers remain -- are well diversified as well with our top 5 clients representing only 15% of our revenue in Q2. Similarly, regional diversity of revenue has been critical for us for both stability and for growth. We also are happy to follow our multinational clients around the world. By generating revenue from services in multiple regions, we reduce our risk exposure while increasing our potential for growth. And this sort of diversification, we feel is very important in the current environment of heightened policy uncertainty and trade tensions. We're also seeing excellent traction in the Middle East, securing new logos across public and private sectors. This is also sort of underlying these numbers. In our last earnings call, I had said that we are determined to get revenue growth back into double digits soon regardless of how our industry subsector of digital engineering performs. For this, we have initiatives that will layer on a few different lines of growth on top of our normal subsector growth. I have listed these initiatives in the last call, and we'll give you a quick update today. The first of these is Japan. We have continued to develop our partnerships targeting Japan and Japanese companies throughout the world. We are working with multiple partners and have several dozen distinct business opportunities. Now this is also reflected in revenue growth, although from a very small base. We want to do in Japan, what we did in the Middle East, land and expand via organic and potentially inorganic means. Japan is one of the world's largest economies, of course, of late, the economy is changing. The mindset of large Japanese companies is advancing. There is digital debt coming due and the country wants to really leverage AI. All of this leads to a very exciting market. The second is the German Mittelstand. We work a lot for the Mittlestand via the SAP business unit, but we have only a very few clients in this segment on the digital engineering side. Here, again, we feel we have the right to win. That's one of the largest German services firms. And we continue to make progress on this opportunity. We will have more in the coming quarters. The third is Edge AI and IoT. This is rooted in the partnership that we had announced with Advantech and a couple of other such partnerships. Here again, we have a couple of dozen joint business opportunities and leads. We are very excited about what the Advantech partnership in particular will mean for us from next year onwards. A few more words about the big picture. What's not on this slide yet, but what is very important is data engineering and AI. As I said earlier, we are very encouraged to see that more clients are now comfortable with and have a clearer grasp of the benefits that they can achieve with AI. On our side, too, we are very far more clear now about what exactly we want to be. As an engineering forward firm that is not too big and not too small, we feel we have an excellent success -- excellent chance of success in this new phase of transformation of our clients. So we are redesigning our offerings, our positioning and our internal organization for this next phase in a way that we believe will begin to contribute to our business later this year and for years to come. We see this as yet another reinvention on our way to becoming one of the world's truly great companies. We will doubtless speak in much more detail about this in the coming calls. Now over to you, Michael. If you would like to say some words to the balance sheet and cash flows now, that would be great.
Michael J. Knapp: Yes, absolutely, Manas. Thanks. The chart on the left shows our financial position at June 30, 2025. Our financial liabilities were EUR 300.7 million and lease liabilities at EUR 66.9 million. Our cash balance remained strong at EUR 121.8 million, implying net liabilities of EUR 245.8 million and a net leverage ratio of 1.8x. The company's liquidity position at the end of the 6-month period was comfortable working capital of EUR 206.9 million. Cash flows for the 6-month period ended June 30, 2025, show a total cash outflow of EUR 74 million versus an inflow of EUR 8.8 million for the comparable period last year. Our operating cash flow for the current 6-month period decreased slightly to EUR 26.1 million versus EUR 27.6 million for the comparable period last year. This was primarily due to an increase in payment of income taxes of EUR 8.7 million and other noncash incomes and expenses of EUR 9.1 million. Our days sales outstanding improved from 88 days at the year-end 2024 to 85 days at the end of June. Kindly note that we calculate DSO based on quarterly revenues and include both contract assets and trade receivables. Cash flow from investing activities for the current 6-month period was an outflow of EUR 4.3 million. CapEx was EUR 3.7 million, and that's less than 1% of 6-month revenue, reflecting our asset-light model. Cash flow from financing activities for the current 6-month period was EUR 95.8 million against EUR 1.7 million in the comparable period last year, mainly due to the purchase of treasury shares amounting to EUR 50.1 million and net repayment of bank loans of EUR 24.9 million and lease payments of EUR 11.3 million and interest payments of EUR 9.6 million. Turning to our capital allocation initiatives designed to create shareholder value. As I mentioned, we bought back a total of approximately 684,000 shares as of June 30, 2025, amounting to EUR 50.1 million. We also announced a dividend of $1 per share, Delivery Hero is our Board Chair, and he is now also the Chair of our Nomination and Remuneration Committee. Hans-Paul Burkner, which amounted to EUR 12.6 million or 13.1% of 2024 EBIT. This was declared during our annual meeting held on June 30, 2025. And as Manas noted earlier, we also announced in April, the business transfer of Notion Edge, France and SAP gold partner and other sectors in France, and we'll -- we expect to continue to make acquisitions in the coming quarters. And with that, I'll hand the call back to Manas.
Manas C. Human: Thanks, Michael. As I mentioned last quarter, we are -- and as you note from the AGM, we are very pleased to add 3 new members to our Board that were formally appointed at the AGM. Martin Enderle, who was until recently Chair of the Supervisory Board of who has been Global CEO, the Chairman and Chairman Emeritus of BCG, is now Chairman of the Strategy Committee and an excellent sparring partner with us on our reinvention and Jack Clemons, who has been global CEO of Bata and has been on various other boards, including being Chair of the Audit and Risk Committee of the Worldwide Fund for Nature is now Chair of our Audit Committee. We have had a couple of Board meetings and Committee meetings after at the AGM, and I'm very impressed with the discussions and ideas and experiences that these Board members, new Board members as well as the existing Board members have already contributed. We are also in the late stages of our search for Custodian Of Finance for our organization, our CFO. And more on that when we have concrete news. Well, that's that as a wrap up for the quarter. We can now transition to Q&A.
Michael J. Knapp: Great. Thanks, Manas. [Operator Instructions] And it looks like our first question comes from Andreas Wolf at Warburg.
Andreas Wolf: Congratulations on a solid revenue performance in Q2, given the current economic environment. I have the following questions. The first is on the deployment of AI in software development projects. What are you observing there, Manas. I'm asking, especially against the background of the Horizontal Tech revenue development. I see that other verticals developed quite nicely, but maybe you could also comment on the deployment of AI, especially against the backdrop of Horizontal Tech revenue development. And the second is on the balance sheet i.e., liquidity versus financial debt. It looks a bit inefficient right now. Are there any plans to kind of reduced financial liabilities using the liquid assets that you have sitting on your balance sheet? And the last question is probably related to the second, is on what has been the impediment so far on buying back further shares. You got an approval at the AGM to extend the share buyback. So far, Nagarro has not utilized this opportunity.
Manas C. Human: Thank you, Andreas. I'll take the first question and maybe Michael can take the second question. So in software development, we are seeing exciting use of AI. And I think now more and more of our clients are leveraging AI. We see and we also have this recent Stanford University research study, which shows that there are productivity improvements to be had with -- when teams use AI. But these are very much dependent on the complexity of the software base. So if you have -- like it's a fresh -- greenfield versus brownfield situations. So they have lots of nice charts. You could look this video up on YouTube. And that's kind of what we are seeing that in more complex corporate situations, there's relatively limited productivity gains, whereas in more greenfield, simpler apps, there's a huge productivity gain. And I think that we have sort of felt -- those of you who have followed the company for the last several years will remember that even in the -- even when you were doing the spinoff, we were talking a lot about trying to always move towards complexity, and we believe that complexity is the best defense. And at the same time, as companies are starting to use AI, they will need a lot of data engineering. They will need a lot of pilots, they will need to know how to scale those journeys of improved intelligence across their organizations. They will need to manage that change. So there's a lot of -- on the positive side as well from this. So I think that both of these go hand- in-hand. And I would hesitate to say more right now than -- because we are just on the edge of a relaunch. And once we relaunch, I think the -- our view on this will become more clear. On the use of cash that we have and on the especially for buyback, maybe, Michael, you can take that since you are handling the balance sheet part.
Michael J. Knapp: Sure. No problem, Manas. Yes, I think as we've -- as you've seen, buyback is an important part of our capital allocation strategy. But it's not in and of itself the only thing we're doing, right? We're issuing dividends, and we're also looking for inorganic growth opportunities as well. So we look at it as a mix of what's optimal. Clearly, where the stock is trading we see it as significantly below what we would consider intrinsic value for the stock. So I think that will continue to be an important element of the broader strategy. And at this point, I'm not seeing any additional questions. So I will turn the call back over to Manas.
Manas C. Human: Okay. Great. I just want to say that -- I mean, there are a couple of questions, which I'll just say a couple of words on. So these are not from analysts, but just to be polite. So we have invested, as you know, in AI -- most of these are around AI and data engineering. We've invested in an AI team many, many years ago. And we have, as a result, a 4-digit number of people in the business unit that's focused on AI and data. And this is apart from the people that you -- that every business unit is now sort of building on their own because AI is like electricity, and I think it will power everything we do. So it's not going to be very separate for very long, even though we have a very specialized AI business unit. And there's also a question around how does this offering go out to clients. And again, I don't want to speak too early, but in general, we are looking at all the aspects of what it will take for a client of ours to make this journey with AI, which includes the advisory around AI and the piloting around AI, the ROI delivery at the estimates of ROI for the entire journey, it could be the change management. It is the engineering, of course, which we are really very strong at. Our understanding of different functional aspects across industries, whether that be, let's say, supply chain or manufacturing or maybe even HR or different topics. So -- and it will be driven by a set of offerings, both service offerings and product offerings that we are putting together. So it's definitely something quite structured. I think that still some months ago, it wasn't very clear how this world would play out. I think it's far more clear now. And even the technology is reaching a level of maturity and there's a level of excitement around Agentic AI that is actually -- I think it's a good time to take our next step. And this next step, we see this as a reinvention of the company, the way we think of ourselves the way we act, but more on that in subsequent calls. But that's pretty much all I had on those questions, and I will maybe -- if that's the only questions we have that we can end this call at this point. Thank you very much for joining.
Michael J. Knapp: Manas, I may have spoken too soon. We do have a late question here, if you wouldn't mind. This is from Garcia [indiscernible]. And this question is any view on the revaluation of liabilities and if that will affect you in the second half, you talked about actions you might take to mitigate those impacts. And then are you confident on achieving margins in the second half?
Manas C. Human: Yes. So what I would like you to think of this as is an engine, operating engine that's running at very high or relatively high efficiency. And we've always said that the company had the capability to deliver more margin. It's just that we had not stressed it in that direction because the way we were growing earlier, we felt that growth was a priority. In a slow moving environment. We have upped the -- we are sort of tuned more towards the margin and the operating engine is very strong and is delivering very good margins. However, this sort of these sort of static liabilities that we have which are largely internal loans and stuff. They lead to noncash changes every time the currency changes, and it's a onetime effect when the currency changes, it doesn't affect our operations on a day-to-day basis. So if the currency remains where it is, it will not affect us in H2. So that's kind of why we feel very good about our margin in the direction in which you are on the margin. Of course, we don't control currency, but it currently stays where it is, we are in a good place.
Michael J. Knapp: Manas, we have one more question coming in from Jonathan Art who asks, what do you mean by a relaunch, do you mean a rebranding? And for your IFRS figures like adjusted EBITDA, shouldn't these intercompany loan and the FX impacts be removed from that?
Manas C. Human: The adjusted EBITDA topic, I think, is a fair question. We have never seen such large impact, and maybe we should be removing them. So Jonathan, I think you're maybe right there, we will give it some consideration. But the -- on the other side of the relaunch, what we mean is, see, again, over the years, we have tried to steer the company via our brand. And I don't mean Nagarro itself, but the tag line that we carry, which sort of aligns what our clients can expect from us and aligns what we internally try to deliver. So for example, when we were a small company, our tagline was complex is simple. So we went for the most complex projects. We went for like revenue management or price ticket price optimization at Lufthansa or something like that. And that was a way to break in. So complex is simple was a tagline. As we scale, it became enterprise agile. So agile while being enterprise class robust. So building mission-critical systems, but being very agile and quick to market. And even the S market with SAP that I just announced today, is a classic example of that, building like really serious systems but in a very fast way. And it's not as though these tag lines or capabilities go away, but we sort of build on them. And then the next one was thinking breakthroughs. And that was say what really come out of the engineering, we want to come into where we are actually making impacts on the clients' business through innovation and innovation and design thinking was something that we try to get through the entire company. And now there's scarcely a client of any size where we are not bringing innovations. We're not bringing ideas and working on how can we do things better, right? So the next phase, which we have just sort of introduced a little bit, I would say, weekly is being the fluid idea of fluidic. And that -- we haven't really backed it up fully yet, and we haven't really clarified it fully yet. But in that sense, we will do a rebranding. I mean we will clarify what we are about, what our offerings are, how we lead how we work, what kind of people we're looking to hire, what kind of leadership we're trying to grow. So there is a whole change in that direction. I hope that answers your question, Jonathan. Michael, if that's the last question, then we can close the call here.
Michael J. Knapp: Yes. Great. It looks like that is. So thank you, Manas. And thank you, everyone, for joining us today. This concludes Nagarro SE's first half 2025 earnings call. Thank you for joining and you may now disconnect your lines.
Manas C. Human: Thanks.